Operator: Greetings, and welcome to the Edwards Lifesciences Corporation Third Quarter 2014 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Erickson, Vice President, Investor Relations. Thank you, Mr. Erickson, you may begin.
David Erickson: Welcome, and thank you for joining us today. Just after the close of regular trading, we released our third quarter 2014 financial results. During today's call, we'll discuss the results included in the press release and accompanying financial schedules and then use the remaining time for Q&A. Our presenters on today's call are: Mike Mussallem, Chairman and CEO; and Scott Ullem, CFO. Before we begin, I'd like to remind you that during today's call, we will be making forward-looking statements that are based on estimates, assumptions and projections. These statements include, but aren't limited to, our expectations regarding sales, gross profit margin, earnings per share, SG&A, R&D, interest expense, taxes, free cash flow and foreign currency impacts. These statements also include our current expectations for the timing, status and expected outcomes of our clinical trials, regulatory compliance, submissions and approvals, as well as expectations regarding industry growth, portfolio adjustments, conversions, new products, competitive positions and reimbursement. These statements speak only as of the date on which they are made, and we do not undertake any obligation to update them after today. Although we believe them to be reasonable, these statements involve risks and uncertainties that could cause actual results or experiences to differ materially from the forward-looking statements. Information concerning factors that could cause these differences may be found in our press release, our annual report on Form 10-K for the year ended December 31, 2013, and our other SEC filings, which are available on our website at edwards.com. Also, a quick reminder that when we use the terms underlying, excluding special items and adjusted for special items, we are referring to non-GAAP financial measures. Otherwise, we are referring to our GAAP results. Additional information about our use of non-GAAP measures is included in today's press release and on our website. Now I'll turn the call over to Mike Mussallem. Mike?
Michael A. Mussallem: Thank you, David. This quarter, we are pleased with the results in all product groups and regions, with strong double-digit overall sales growth. This was highlighted by transcatheter heart valve sales that exceeded our expectations driven by the strong adoption of this therapy. In Europe, the U.S. and Japan, the launches of SAPIEN 3 and SAPIEN XT are strengthening our global leadership position and allowing a greater number of patients to benefit from this life-saving therapy. Also during the quarter, we began implementing several adjustments to our portfolio, driven by our strategic planning process. These include: Combining the operations of our Cardiac Surgery Systems and Surgical Heart Valve Therapy product lines; the redeployment of glucose monitoring resources into our Enhanced Surgical Recovery initiative; as well as increasing investment in advanced structural heart opportunities. Now turning to the quarterly specifics. Total adjusted sales were $589 million, representing an underlying growth rate of 19%. In transcatheter valves, underlying global sales grew 44% driven by strong growth in all regions. U.S. sales accounted for approximately half of our total THV sales. U.S. and Europe sales exceeded our expectations as adoption grew faster than we anticipated and our new product launches reinforced our leadership position. Our global average selling price was unchanged from a year ago. Outside the U.S., THV sales grew 42% on an underlying basis, once again driven by strong market growth in Europe. SAPIEN 3 is now representing more than 75% of our European THV sales, gained ground across the region and continues to enjoy very positive clinician feedback. Clinicians have rapidly converted to SAPIEN 3, and we expect it to be available in all of our sites by the end of the year. Although the impact of newer competitors in Europe was limited again this quarter, we are continuing to see a modest pickup in their penetration. In Japan, THV sales in the quarter grew to $11 million. While clinicians there are enthusiastic about our SAPIEN XT valve, the procedural success remains very high. The site certification process is gaining the pace of adoption in the near term. We continue to expect SAPIEN XT sales in Japan to be between $40 million and $50 million for 2014, and believe the opportunity for transcatheter technology for these patients is very attractive. In the U.S., underlying THV sales were $126 million for the quarter, including $10 million from royalties and excluding the benefit of a net $17 million sales return reserve reversal. This represents an underlying growth rate of 46% compared to the $86 million reported last year. Included in this quarter's results were lower clinical sales than we recorded in the second quarter and approximately $16 million of negative impact from net stocking. The number of TAVR procedures in the U.S. grew more rapidly than we expected. Additionally, our performance was driven by the adoption of our lower-profile SAPIEN XT and strong demand for our larger 29-millimeter valve. By the end of the quarter, we had shipped SAPIEN XT to all of our sites and expect conversion to be largely completed by year-end. We remain on track with our previously stated goal to add 45 to 65 new sites during 2014. On the reimbursement front, 2 new DRGs for all endovascular valve replacement procedures, including TAVR, went into effect on October 1. In adopting the new code, CMS acknowledged that TAVR patients are different from typical surgical valve patients, and the new DRGs will more accurately reflect the level of hospital resources required. Our modeling suggests this change will result in an improvement in TAVR hospital economics. Enrollment in our U.S. SAPIEN 3 trial of 1,000 intermediate-risk patients was completed last month. As a reminder, we completed enrollment of the high-risk trial in January of this year, which has a 1 year end point. Based on our estimates, we're planning for a first approval of SAPIEN 3 in 2016. At the same time, we're actively engaging with FDA to discuss ways to bring our latest technology to patients more quickly. We are also discussing with FDA a limited continued access protocol for SAPIEN 3. We'll provide updates on our SAPIEN time lines at our Investor Conference in December. In summary, we are very pleased with our global THV sales performance, which exceeded our expectations. Going forward, we believe current market growth rates are not sustainable and expect competitive activity will increase. Given the expected reduction in U.S. clinical sales and the recent FX headwinds in the fourth quarter, we expect adjusted sales dollars to be roughly comparable to the third quarter. We now expect our full year 2014 underlying THV sales growth rate to be around 25%. Turning to Surgical Heart Valve Therapy product group. Sales were $203 million, up 6% on an underlying basis. Solid unit growth was seen across all regions, and product mix drove a slightly higher overall ASP. Globally, surgical valve sales grew 7%, led by unit growth of our premium valves. We believe that global surgical valve procedures continue to grow in the low single digits this quarter. In Europe, strong unit growth was driven by building clinician interest in INTUITY Elite, our minimally invasive valve platform. And in Japan, our growth rate has rebounded following competitive introductions over the past few years. At the recent European cardiac surgery meeting, there were multiple presentations on the INTUITY valve platform, which included 3-year data from the TRITON CE mark trial, clinical data from the foundation registry of 512 patients and follow-up on the randomized cadence MIS series. These data demonstrated differentiated clinical performance, increased rates of minimally invasive surgery and improved patient outcomes. We believe this investment in INTUITY evidence will continue to support the growing adoption of this platform around the world. In the U.S., we are on track to complete patient enrollment in our TRANSFORM Trial for INTUITY Elite by the end of the year. As a reminder, we report our Cardiac Surgery Systems or CSS product line in the Surgical Heart Valve Therapy product group. In our Utah-based CSS operations, we've taken actions to enhance our long-term performance, and those are impacting our near-term results. We continue to aggressively focus resources on addressing the items identified in the warning letter, and the extensive CSS remediation efforts are proceeding on track. And additionally, as part of this action, we're planning to exit nonstrategic products, representing annual sales of $10 million to $20 million. Separately, we made the strategic decision to integrate the operations of our surgical heart valve and CSS product lines. We are focusing our investments in surgical structural heart therapies that combine an implant, MIS products and training that we can support with clinical evidence. We believe this combination will better serve patients, strengthen our surgeon partnerships and extend our leadership. The integration is expected to be completed by the end of the year. Combined, we expect these actions to have a modest negative impact on the top line over the next year, with some expense savings from operational efficiencies, offset by increased investments in our quality organization and advanced structural heart projects. These are long-term strategic adjustments to better position us to deliver new therapies for structural heart patients. In summary, despite the disruption on -- in our CSS product line, we're continuing to experience strength in our surgical valve product line, and still expect underlying sales growth for the total product group to be at the low end of our previous 4% to 7% range in 2014. Turning to the Critical Care product group. Total sales for the quarter grew 4.5% on an underlying basis to $137 million. Sales performance was solid across the board, and we again experienced double-digit ESR product sales growth globally. As a reminder, ESR, or Enhanced Surgical Recovery, is designed to enhance patient outcomes and facilitate shorter hospital stays resulting from better monitoring and fluid management. These ESR products include both minimally and noninvasive monitoring sensors such as FloTrac and ClearSight. ESR is a significant opportunity that we are well positioned to lead, and we believe it will help even more patients, and grow our Critical Care franchise. This rapidly evolving space requires investment and innovation, so we have recently made the difficult decision to refocus resources from our continuous glucose monitoring program to ESR. Although we've been successful in developing and commercializing our GlucoClear technology, there was still a significant effort needed to change clinical practice. Separately, as you may have heard, Carlyn Solomon, our corporate Vice President of Critical Care, has made the personal decision to leave Edwards to pursue another opportunity. We respect his decision and express our sincere thanks to Carlyn for his many contributions as a valued member of our executive leadership team, and we wish him the very best in the future endeavors. We are actively engaged in identifying a successor. To summarize our Critical Care product line, we are pleased with a strong results to date and continuing adoption of ESR products. Therefore, we continue to expect underlying sales growth in Critical Care to be at the high end of our previous 3% to 6% range. We're continuing to make progress on our FORTIS transcatheter mitral program. Heart teams in 4 countries have been trained in our -- on our technology, and 11 patients have been treated to date. In addition to the compassionate use patients, we're continuing our first in-human experience in a European and Canadian multicenter, protocol-driven prospective study. The purpose of this study is to continue our feasibility work in patients who are at high risk for surgery, and to enhance our understanding about patient selection. Although the journey to commercialization may be a long one, and durable success will not be known without significantly more experience, we continue to believe transcatheter technologies can help address the large need among patients with mitral valve disease and expect clinical results to be reported at future medical meetings. And now, I'll turn the call over to Scott.
Scott B. Ullem: Thanks, Mike. Third quarter adjusted sales of $589 million exceeded the top end of our guidance range by about 3% and represented 19% underlying growth over last year. Our strong sales performance in transcatheter valves drove non-GAAP diluted earnings per share of $0.80, which was above the top end of our guidance. This represented 14% growth over the prior year, which includes increased incentive compensation associated with the higher sales and increased expenses associated with the portfolio adjustments Mike just mentioned. I'll cover the detail behind these top line and bottom line results and then share guidance for the balance of the year. Edwards reported GAAP sales in the third quarter of $607 million. Our adjusted sales of $589 million exclude the benefit associated with the transcatheter valve sales return reserve reversal. The next generation product exchanges are almost completed in the U.S. and in Europe, and we expect to reverse the remaining $4 million of net reserve in the fourth quarter. The sales return reserve schedule on our Investor Relations website has been updated to reflect this quarter's results. For the quarter, our gross profit margin was 72.3% compared to 74.1% in the same period last year. This reduction was driven primarily by a 160 basis point negative impact from foreign exchange, and also 140 basis points of higher costs associated with our CSS operations in Utah. This reduction was partially offset by a more profitable product mix. For the fourth quarter, we expect our gross profit margin, excluding special items, to be approximately 74% as the impact of foreign exchange mitigates. Second quarter selling, general and administrative expenses were $222 million or 37.7% of adjusted sales, compared to $178 million in the prior year. The largest components of the increase were driven by our transcatheter valve sales performance, including larger accruals for sales commissions and incentive compensation, which primarily impacts SG&A expense. Incentive compensation also impacts, to a lesser extent, our cost of sales and research and development expenses. For the full year, we continue to expect SG&A, excluding special items, to be between 37% and 38% of sales. We continue to aggressively invest in research and development, and spending in the third quarter was $88 million or 14.9% of adjusted sales, compared to $84 million in the prior year period. This increase was primarily the result of additional investments in aortic and mitral valve programs. We expect fourth quarter R&D investments as a percent of sales to be comparable to the third quarter. During the third quarter, we recorded 3 adjustments to our GAAP results, which reduced our net income by $7.6 million as follows: first, the impact of the THV Sales Return Reserve benefited our GAAP net income by $11.6 million. Consistent with prior quarters, we excluded this impact from our non-GAAP net income; second, we excluded from our non-GAAP results the cost associated with the write-down of assets related to our glucose program. $2 million of these costs are included in our cost of sales, and $3 million were reflected as a special charge; and third, consistent with prior quarters, we excluded $900,000 of intellectual property litigation expense from our non-GAAP results. A complete reconciliation of our GAAP to non-GAAP net income was included in our press release. Net interest expense for the quarter increased from the prior year to $2.5 million, primarily as a result of our $600 million issuance of 5-year notes last October. For the full year 2014, we continue to expect net interest expense to be at the low end of our $12 million to $15 million range. Our reported tax rate for the quarter was 21.6%, down from 23.0% in the prior year. This quarter's favorable rate resulted primarily from an improvement in our European tax position, partially offset by higher sales of transcatheter valves in the U.S. We expect our rate will drop to approximately 16% in the fourth quarter, assuming renewal of the federal research and development tax credit. FX rates had a negligible impact on sales compared to the prior year. Compared to our prior guidance, FX rates had an approximate $0.01 impact on earnings per share. Given the weakening of the yen and the euro, at current rates, there will be additional foreign exchange drag on sales in the fourth quarter of approximately $15 million. Free cash flow generated during the quarter was a negative $6 million, which included a $159 million tax payment related to the prior quarter's litigation settlement. We define free cash flow as cash flow from operating activities of $12 million, less capital spending of $18 million. Excluding the tax impacts of the prior quarter's litigation settlement payment and of our contribution to the Edwards Lifesciences fund, free cash flow was $139 million. For 2014, excluding special items, we now expect free cash flow to be at the high end of our previous range of $325 million to $425 million. Turning to our sales and earnings guidance. As Mike mentioned earlier, given our strong performance in transcatheter valves, we now expect sales in this product group to exceed the high end of our previous range of $830 million to $900 million, and total company sales to exceed the high end of our previous range of $2.05 billion to $2.25 billion. For the Surgical Heart Valve Therapy group, we continue to expect sales of $810 million to $850 million. And in the Critical Care product group, we continue to expect sales of $535 million to $575 million. We estimate fourth quarter diluted shares outstanding to be between 109 million and 110 million. For the fourth quarter of 2014, we project total sales to be between $575 million and $615 million, which reflects the additional expected foreign exchange headwinds. We expect diluted earnings per share, excluding special items, to be between $0.89 and $0.95, which increases our full year guidance for the diluted earnings per share, excluding special items, to a range of $3.33 to $3.39. And with that, I'll hand it back to Mike.
Michael A. Mussallem: Thanks, Scott. Our strong year-to-date results reinforce our conviction in our focused innovation strategy and point to a bright future for Edwards Lifesciences. Although competition is intensifying, we believe our pipeline of new products positions us well to drive solid organic sales growth and help clinicians address critical unmet patient needs. We are encouraged the new therapies, supported by compelling evidence, are still being adopted even in this challenging health care climate. And with that, I'll turn it back over to David.
David Erickson: Thank you, Mike. Before we open up for questions, I would like to remind you to RSVP for our 2014 investor conference on Monday, December 8, in New York. This event will include updates on our new technologies as well as our outlook for 2015. More information and a registration form are available on our website. [Operator Instructions] Operator, we're ready for questions, please.
Operator: [Operator Instructions] Our first question is coming from the line of David Roman with Goldman Sachs.
David H. Roman - Goldman Sachs Group Inc., Research Division: I wanted just to start with maybe your helping us with any detail you can provide on how things have changed in the transcatheter valve market over the past, call it, 10 months. When we started at your Analyst Meeting last December, I think you painted a fairly conservative or, some might say, bleak picture for your business as well as the overall market and over the course of the year, things have gone better. So can you maybe just help us understand specifically what has changed in the market and in your own business on a year-to-date basis?
Michael A. Mussallem: Yes, thanks David, good question. I think back at the Investor Conference, we acknowledged that we thought that there would be a pretty good growth rate in transcatheter heart valves globally. I want to say we projected a 25% to 30% growth rate for the market. But we said, it was going to be a difficult year to call, because we had a new competitor in the U.S. We had new competitors coming in to Europe and at the same time, we had product launches coming from Edwards, and that led to a very broad range of outcomes. As things have played out, probably the thing that's most significant is that we find the markets growing faster than we anticipated. It's growing faster in Europe than we thought, it's growing faster in the U.S. than we thought. And you couple that with what I feel are very successful launches of SAPIEN 3 in Europe and SAPIEN XT in the U.S., and that's really resulted in a performance better than we expected.
David H. Roman - Goldman Sachs Group Inc., Research Division: And then as you think about the comment on both on the call and in the press release about the new competition coming, it's, I think very reasonable for all of us to understand why growth at the level you put up this quarter is not likely sustainable. But that sort of begs to reason that a lot of what we thought might have been onetime in nature, this year, whether there's trialing of new products, or a bounce back in a certain market. And what gets this market going again from here, and sort of reinforces the longer-term view in that 2014 wasn't just an easy bounce-back year?
Michael A. Mussallem: Well, I think the growth of the market sort of speaks for itself. As I said, I feel like it's growing faster than we had originally anticipated, so this isn't just versus a weak comparison. The market is, it's really growing. And I think there's a number of reasons why the market is growing faster than we originally anticipated, but it is. So the competition is coming. There's no doubt about that. We expect that to intensify, but this quarter was not really one that was one-timers that drove this. This is underlying market growth and good performance by our product groups.
David H. Roman - Goldman Sachs Group Inc., Research Division: Okay. Then maybe last one for me. Just thinking about how that translates then down the income statement. Scott, I understand that the specifics around incentive comp and the better sales. But what does it take to restore operating leverage to the model, whereby we can get back to a point where EBIT is growing faster than revenue, call it, on an annual basis?
Michael A. Mussallem: Well, thanks, David. We have to let others ask questions after this, then.
Scott B. Ullem: Okay, David, this is something we're looking very hard at. Obviously, as we getting ready for our December conference in New York, we'll tell you more about what 2015 holds. But I can tell you that we're looking at how we can try to streamline our operations. We've got a lot of expenses running through the P&L in the third quarter, relating to CSS operations. Some of those will go away in the future. A lot of those will continue and get baked into enhancing our quality programs. But it's something that we're focused on keenly, and we'll talk more about that in December.
Operator: Our next question is coming from the line of Larry Biegelsen with Wells Fargo Advisers.
Lawrence Biegelsen - Wells Fargo Securities, LLC, Research Division: I'll ask my 2 questions together here, and they're actually follow-ups on David's questions. So Mike, what is temporary about the current market growth rates? Was there pent-up demand, for example, for the 29-millimeter valve? What -- could you be more specific about what caused the sudden acceleration that we saw? And the second question is, on the new competition intensifying, could you be more specific, is it the U.S.? Is it Europe? Because you seemed to be doing very well in Europe with SAPIEN 3.
Michael A. Mussallem: Yes. Thanks, Larry. Yes, in terms of what is lifting the market, there are a number of factors that we believe sort of have lifted the market, and we probably underestimated these. The availability of these new 18 French delivery systems have just provided for much more transfemoral delivery and that's -- and that equals, in general, a less-invasive procedure and shorter recovery times. The larger valves have been significant, and that's really contributed to volume. The improving economics, I think, has -- have been seen by our sites, and that is no longer a drag. And just, I think the confidence in the long-term outcomes continues to grow as those results get reported and they continue to the favorable. So that's sort of a high-level summary. It is possible that we are seeing a bolus of patients with 29-millimeter valves. I think we probably sold about, I think, something in the neighborhood of 1 quarter of the valves that we sold in the quarter were 29-millimeter valves. That's a little higher than we were when we were -- had the XT product in Europe, and so there may be some of that, that we're experiencing, Larry, so that's sort of the key thing. In terms of new competition, I think, we know that in the U.S., that Medtronic is still rolling out their product. They're probably in more than half of our accounts. They're still ramping up, so we, I think we're yet to feel their full effect. And we know that St. Jude has been out of the marketplace, companies like Boston Scientific and Scimed are still building up their presence. So we just expect it to generally intensify.
Operator: Our next question is coming from the line of Brooks West with Piper Jaffray.
Brooks E. West - Piper Jaffray Companies, Research Division: Mike, I wanted to follow up on your FDA comments, and I understand it's a hard question to answer. But any color, granularity, sense of optimism you could share with us incrementally on either an acceleration of the intermediate-risk label or bringing SAPIEN 3 to the U.S.? And I've got one quick follow-up.
Michael A. Mussallem: Yes, thanks, Brooks. Really, I don't have anything to share at this point. Of course, we're optimists by nature, but we know from experience that trying to predict early FDA actions is not something that's prudent. And so we'll certainly update you at the Investor Conference of what we learn. We are in discussions with the FDA. We do ask them about accelerating the new product approvals. We are asking them about a limited continued access program, and we just don't have those answers right now.
Brooks E. West - Piper Jaffray Companies, Research Division: Okay. And then, just a quick one for Scott. FX, I think you gave the dollar amount, top line. Did you give the hit to EPS for Q4?
Scott B. Ullem: For Q4, the hit to EPS, we haven't talked about yet. It's difficult to predict what it's going to be, because we don't know where FX is going to go.
Operator: Our next question is coming from the line of Raj Denhoy with Jefferies.
Raj Denhoy - Jefferies LLC, Research Division: Wondered if I could ask, start in the U.S. and for my 2 questions, in terms of the dynamics you're seeing amongst the hospitals here, are you seeing a deeper penetration in those bigger hospitals, or are you seeing sort of a broadening of the utilization at this point?
Michael A. Mussallem: Yes, thanks, Raj. We're really seeing it pretty broadly. It's been across the board. We are seeing increased penetration in the larger accounts, but we're also seeing it in smaller accounts. So we're sort of -- it feels like everything was going our way right now.
Raj Denhoy - Jefferies LLC, Research Division: And then within that, is there any insight into what types of patients you're seeing? Has there been this progression down the severity curve as one might expect? Or is it still largely on label at this point, do you think?
Michael A. Mussallem: Yes, I still feel like we're very much seeing high-risk patients and that we're not seeing risk creep. When we look at the average age of patients, that continues to be in the same range as it has been in the past where it's in the 80s. That's what we've seen out of the TVT registry, so. It's still there. I think there's a, there may be different views on the part of heart teams as they're judging these patients, but now we still think we're clearly in the high-risk category. It's difficult, because I know people use, they want to use the SPS score, which is not a great risk score for transcatheter heart valve patients. And so that's still something that's evolving. You still have frailty that's part of this, so. Right now, I think, you have heart teams doing the best they can.
Raj Denhoy - Jefferies LLC, Research Division: If I could just squeeze one in on Europe. You mentioned this idea of competition. And I'm curious what you're seeing thus far in terms of how hospitals are adopting the technology. You're seeing hospitals primarily bringing in one large vendor, either yourselves or Medtronic, and then maybe one of the smaller ones, or is it a little more diffused than that, where they might allow both yourselves and Medtronic in, just anything in terms of how you're seeing that market develop would be helpful.
Michael A. Mussallem: Yes, I would say the majority of our accounts have more than one supplier, and that there be a very small, I would say, I don't know, must be, and I'm guessing now that under 20% of our accounts would be exclusive Edwards, maybe less than 10%. So in general, the customers would have a choice on their shelf.
Operator: Our next question is coming from the line of Rick Wise with Stifel, Nicolaus.
Frederick A. Wise - Stifel, Nicolaus & Company, Incorporated, Research Division: Just trying to get at the EU market growth from a different angle, while that London valve, hearing a couple of things. How much of your acceleration in Europe is Edwards' German market share gain? I'm hearing about dramatic gains there as competitors, obviously you're making some of your larger competitors -- have yet to launch a broad array of sizes. And how much of the growth in Europe has been moved to intermediate-risk patients in Europe, which seems significant?
Michael A. Mussallem: Yes, so a couple of things, Rick. The -- I think I mentioned in our opening comments that it -- we saw growth in -- pretty much in all countries across Europe. Of course, Germany is the largest country, and so that tends to be outsized in terms of the dollars, but the growth rate was strong in all countries. In terms of what's driving it, there's a few things. Of course, there's a growing body of evidence, and you have to believe the fact that people are being successfully treated and that, that is driving a referral base to be more positive is helpful. I also believe that the new devices further improve outcomes for patients, and that's accelerated the growth of procedures. In terms of going into the intermediate risk, I don't think that's typical. I mean, one of the things worth noting is the -- looking at the growth rate of our surgical heart valve business. It's been very nice in Europe, and so I really don't think that you're -- what you're watching here is a cannibalization effect.
Frederick A. Wise - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And just one other follow-up on the -- your comments about combining, integrating the rest of the part of the business, and I heard your comments about building a separate structural heart company. I'm just trying to understand how we think about this longer term. Are you thinking about creating a separate structural heart company? Is that Edwards? Or are you thinking about spinning it off or selling it? Is that how we should think about the long run here? Any color would be grateful.
Michael A. Mussallem: No, I'm sorry. Maybe my comments weren't clear. So here was what I was trying to say. Reported under the surgical heart valve products group were -- are 2 individual organizations, one that did Cardiac Surgery Systems, which largely made tools that were used by clinicians. Some of them MIS tools, some of them tools we'd use doing open heart, and the other part of that would be heart valves. So we've decided to combine those 2 organizations. And what we are trying to project here is, that selling tools for minimally invasive procedures, we don't think is as good a strategy as actually being able to introduce a therapy that includes a valve and the tools and us being able to back it up with training and clinical evidence. So that's the direction we're going in, and we have some things in our advanced technology area. We're actually making investments in structural heart innovations that are promising. And so we're continuing to fund those and move those along. We certainly have an idea of keeping those inside Edwards Lifesciences, that's core to our focused strategy, and if those are successful, we'll have something to talk about. But for the most part, those are still early-stage programs at this point, and we'll update you as we make some progress. Does that make sense? Yes?
Frederick A. Wise - Stifel, Nicolaus & Company, Incorporated, Research Division: Fair enough. Yes.
Operator: Our next question comes from the line of Bruce Nudell with Credit Suisse.
Bruce M. Nudell - Crédit Suisse AG, Research Division: Mike, based on our guess, as to a Medtronic report, the market this quarter year-over-year in the U.S. could have doubled. And I guess, could you just help us think about, that the original segmentation of the surgically eligible population that fit in the NCD was really based on NCD score, or STS scores. Now it doesn't seem -- the STS score is an imperfect measure. I mean, like, how many of the -- what percent of the people, who are in fact surgically eligible do you think, really kind of fit into the NCD, given a kind of more liberal definition of high risk?
Michael A. Mussallem: Yes, Bruce, I know you and others are very good at modeling this. And we believe that there's a very large number of patients with severe aortic stenosis and symptoms that go untreated today, and there's a whole variety of reasons. And we believe that this transcatheter technology is broadly bringing them off the sidelines. And that, that's the single biggest thing that's going on. This is a group that traditionally had not been well studied, and we're all learning more about them right now, but I still believe that, that opportunity is very large, and that we're still in low numbers in terms of a penetration rate. We're going to learn more about it, frailty matters. Right now, it is difficult to use risk scores to try and define who's in the market and who's out of it. People that are frail, people that have had radiation and a hostile chest, they have lower risk scores, but they are perfect candidates for this therapy. That'd be a great example of that. So we're still learning and as I said, we didn't predict the growth rate this quarter either. So this is one that came as news to us.
Bruce M. Nudell - Crédit Suisse AG, Research Division: Okay, great. And just switching topics. You mentioned that you're kind of moving into protocol-driven exploration of FORTIS. Do you have any feel yet, just qualitatively, which side the questions really remaining on, whether FORTIS is a workable design or really the effort going forward is really to find out which of the patients are best served by a transcatheter mitral replacement technology?
Michael A. Mussallem: Thanks, Bruce, good question. And the fact is we're still on a steep, steep learning curve. We -- I think we mentioned early on in the FORTIS program, if we found something that was dramatic, we might consider just stopping the FORTIS program. But obviously, we didn't see anything dramatically negative. And we're continuing to think that it's promising, and we've had some results that have gone on for a while here. We're, so we're anxious to learn just how capable the FORTIS design is. At the same time, our initial treatment of these compassionate patients was certainly a pretty desperate group, not a good way to identify what the real applicability of this therapy is. And so right now, being able to move into a high-risk surgical population is really important to us, and we'll look forward to being able to see those results and report them to you.
Operator: Our next question is coming from the line of Jason Mills with Canaccord Genuity.
Jason R. Mills - Canaccord Genuity, Research Division: Clearly, all of us are trying to ascertain from your strong results just how we're going to model going forward. And also, obviously, you're not willing, at this time, to give 2015 guidance. So just -- I was wondering if I could ask you from a qualitative standpoint, as you look at the geographies, over the course of the next 18 months, U.S., Europe and Japan specifically, and think in terms of growth rates relative to where we're likely to end up this year. Looking at those 3 geographies, where do you think you'll see some growth augmentation, if you will, from growth rates going higher and perhaps in Germany, Medtronic has talked about being behind the eight ball because of the injunction earlier and suggested perhaps they'll get better in Germany next year, whether or not Europe, we should be looking at growth rates slowing down a little bit. And then the U.S. obviously, given the results today, it's tough to tell. So just wondering qualitatively, if you look at those 3 geographies over the course of the next 18 months, where do you see growth accelerate and growth decelerate, in your mind?
Michael A. Mussallem: Yes, thanks Jason. First, a few qualitative comments. Overall, the fact that Europe is still growing at this stage of the game 7 years after introduction, we find pretty remarkable, and we're very pleased with that, and this is without very much indication expansion. The U.S. is obviously still adopting, and the advent of these new systems really seem to have accelerated the growth rate and the additional sizes as well. And Japan is just beginning. And again, we think that probably gets off to a slow start in general, but gains a lot of momentum. Having said that, we're not very good at predicting how this goes on a quarterly basis, and probably are better to think about this on a long-term basis. We believe that the long-term growth rate for the globe is probably in this 15% to 20% growth rate. And we think that, that is one that we still feel comfortable with. We felt that way for some time, and we believe that this will continue to evolve this way. But I hesitate to hazard a guess on what various regions are going to grow in the near term.
Jason R. Mills - Canaccord Genuity, Research Division: That's helpful color. In the U.S., I believe pre-XT, your transapical to transfemoral mix was about 50-50. I wondering if you can correct me on that if I'm wrong. And I'm sorry if I missed it, I've been jumping between calls, but did you give that number, that mix number for Q3, and sort of now, what you might expect on a go-forward basis over the longer term in the U.S.?
Michael A. Mussallem: I missed the start of the question, Jason, were you asking about the U.S. or Europe?
Jason R. Mills - Canaccord Genuity, Research Division: Yes, U.S., Mike, sorry.
Michael A. Mussallem: Yes. The U.S., right now, we feel like we've moved to about 75% transfemoral with XT. And so that means about 25% is this, is some other kinds of access. We expect this to probably continue, similar to that range based on our past experience.
Operator: Our next question is coming from the line of Danielle Antalffy with Leerink.
Danielle Antalffy - Leerink Swann LLC, Research Division: Mike, sorry to harp on this market growth issue, but just curious as to why the bearish commentary when we, to your point, haven't necessarily accessed the intermediate risk patient population, even, necessarily in Europe, that's still coming on line here in the U.S., hopefully in the coming years, reimbursements improving. So, I guess, what's the right way to think about sustainable market growth if not at current rate, but what's the right level? Because we do have a lot of runway, I would think, considering intermediate risk potentially doubles the market opportunity. How do we reconcile that with the commentary today?
Michael A. Mussallem: Again, Danielle, I just get nervous about taking a specific quarter like the last one, which was just a terrific growth rate and extrapolating that. I feel like it's better to take a look at a long-term perspective, as I say, globally, this long-term, 15% to 20% perspective is a safer way to look at it. What we experienced this last quarter, we just don't think is sustainable as a market growth rate, and we do believe the competitive activity. So I'm not trying to be bearish, I'm just trying to be realistic about the outlook for Edwards.
Danielle Antalffy - Leerink Swann LLC, Research Division: Okay, that's fair. And one follow-up, unrelated. But just on the GlucoClear program, based on the commentary today on the asset write-down, is it fair to assume that, that program is now dead? Or what's going on with that program?
Michael A. Mussallem: We're still discussing what might happen with that program. We do think it's very valuable. We accomplished a great deal. We have a commercial product, clear path to commercialization in the U.S., a CE mark in Europe, and so we're considering strategic options in that, including partnering.
Operator: Our next question is coming from the line of Ben Andrew with William Blair.
Ben Andrew - William Blair & Company L.L.C., Research Division: Can you maybe update us on the contribution, in terms of the retraining efforts you've been undertaking with clinics, to help them speed the process of moving patients through? Is that something that's kind of ongoing? Could that kind be contributing, and is that maybe an additional driver as you broaden that? Or is that largely played out at this point?
Michael A. Mussallem: Yes, thanks, Ben. No I -- we see a high level of variability in terms of how well specific hospitals develop their referral base. It's ongoing. But one of the things that hospitals do is they have a, they really work on their length of stay, and trying to improve their economics. But the -- but other hospitals have really invested resources in developing their referral base, and trying to get out there and educating people about the value of TAVR and to try and capture the patients that really could be helped by this therapy, but might go untreated because for some reason, that is just -- not appropriate. If we just treated people within guidelines, there would be many more patients flowing into the system. So I would say it's still a young program. It's one that's developing. I like to think that the DRG changes generally are positive and encourage hospitals to hopefully even put more resources into this.
Ben Andrew - William Blair & Company L.L.C., Research Division: And then my follow-up is, how hard are you having to work to get clinicians on the referral side to push patients in? Is that just taking on its own kind of momentum at this point? Or is that an area where you're actively investing?
Michael A. Mussallem: Yes, thanks. We probably have limited impact on really being able to do much with that. We can -- awareness is growing, but you have a pretty good handle on what's going on out there in terms of consolidations, the developing -- the development of narrow networks and so forth. And so you have more and more systems that are really trying to put their arms around groups of patients and keep them within their system, and so you got a high level of variability that's taking place out there, but Edwards does not have a major role in that -- in the development of how those patients flow.
Operator: Our next question is coming from the line of Mr. David Lewis with Morgan Stanley.
David R. Lewis - Morgan Stanley, Research Division: Mike, maybe just changing gears for a second here. We think about this particular quarter, you announced a divestiture, a product shutdown and actually division integration or segment integration. I guess the question I have is, is why now? It's a fair amount of transformation in light of tremendous operational excellence, so no one's going to accuse you of not walking and chewing gum. But why now? And in a business that I think everyone's been very focused on, from a transformation perspective actually has been Critical Care, and there is sort of no mention of that. So a lot of transformation, why now, and what are your thoughts on Critical Care? And I have a follow-up for Scott.
Michael A. Mussallem: Thanks, David. For you and others that have been following us for a long time, you know that we have made a serious and continuous part of the way we manage our company, to actively manage our portfolio. And over the years, we've consistently walked away from things that we did not think have a bright future, and try and add things that we thought our customers would really welcome from us. And so there's been a constant transformation of the portfolio. The primary adjustments that we are making right now are -- actually one of them did touch Critical Care. We say a redeployment of resources from continuous glucose monitoring into Enhanced Surgical Recovery. That's a significant shift for us. There was a -- that's a significant amount of R&D that's going to move over. This idea of moving together, the surgical heart valve operations with the Cardiac Surgery Systems operations and taking some of the efficiencies that come from that and being able to invest in new structural heart programs is also a key part of our strategy. And we just think that those are prudent moves that build long-term value. We would be doing that just in terms of the right thing to do for the long-term growth of our company. It's kind of independent of what's going on. We're obviously enjoying a level of success that allows us to be able to fund those changes in the near term.
David R. Lewis - Morgan Stanley, Research Division: Okay. And then maybe just quick question for Scott. I mean, Scott, the so-called focusing on the top line. It's pretty clear that the, the bull case for the Edwards top line is certainly coming into investor focus here. So the natural question here is leverage. And I'm wondering if you could talk me out of a couple of notions here. It looks like your absolute level of R&D spending is continuing -- is beginning to ebb, and you've got a significant revenue base to leverage off of, and your TAVR business is certainly going to pop through 40% as business mix heads to next year. So can you kind of talk me off of a notion why absolute R&D spending should not slow, and why margin trajectory on the gross margin side should not be higher or if not materially higher in '15 and '16, based on these trends we're seeing.
Scott B. Ullem: So R&D expenses in the quarter went to $88 million, up from $84 million. So we're going to continue to grow and invest in research and development. It's a little bit lumpy, because a big chunk of our R&D expenses is in clinical trials, and those expenses hit at various given periods. In terms of gross margins, we expect that gross margins are going to improve. The biggest driver of the volatility or shift in gross margins is foreign exchange. And obviously, that's difficult to predict. We had 160 basis point headwind in this quarter, and we think that will mitigate going forward, but we're really focused on gross margin. It's directly tied to our sense of whether we get a return on those R&D investments that we're making.
Operator: Our next question is coming from the line of Mr. Bob Hopkins with Bank of America.
Robert A. Hopkins - BofA Merrill Lynch, Research Division: So just to follow up on David's question there. I might ask it just a little bit differently. At what point do you guys think you'll be comfortable giving some longer-term guidance? And then, and the primary reason I ask is that, most MedTech companies with the kind of momentum that you're showing, ultimately do get to operating margins that are above 30%. And so, I'm wondering: one, at what point might you consider giving some long-term guidance; and two, is there some structural reason why long-term you think you might not be able to get there?
Scott B. Ullem: Look, we recognize that other companies give longer term guidance. We'll give our 1-year guidance in December. Really, at this point, it's tough to put a bead on where transcatheter heart valves are going. And so to project out further than 4 quarters is difficult for us to do with any sense of accuracy. We're a long way away from a 30% operating margin. And we are, as I said before, keenly focused on trying to get leverage out of the income statement. We think we will over time, as on a percentage basis, R&D and SG&A will come down, because the sales line will continue to grow well. But we're focused on it, but it's not going to be an immediate shift in our overall income statement profile. It ought to be over the longer term.
Robert A. Hopkins - BofA Merrill Lynch, Research Division: Okay. And I'm just wondering again, it's not -- wasn't really a question about this quarter or next year, really, I'm just wondering if, for some reason, structurally you think that, that's not a level you could achieve if you continue to have success. And so maybe if you can comment on that. And then the last question I want to ask, because really just, Mike, if you just could give us a quick sense, in terms of the success in the TAVR sales outside United States. Do you think that's really entirely market? Or do you think this is maybe a quarter where you also potentially took substantial share?
Scott B. Ullem: Yes, I'll try to answer the structural question. Now look, structurally, we expect that we are going to continue to improve our operating margins. And I can't predict that we're going to get to 30% at some point down the road, but we really are trying to get leverage out of the income statement. It'll take a little while to get there, but there aren't any structural impediments to improving the profitability ratios.
Michael A. Mussallem: Yes, and Bob, we had a pretty terrific growth rate outside the U.S., as I mentioned. Some of that is Japan, but the bulk of that came out of Europe. The biggest lift we got was related to what we believe is the market growing faster. Mike, we have gained share -- we might have, but we really don't, aren't able to say that with any level of precision. Our largest competitor reports in an off quarter for us, so it's hard for us to be able to do the exact math on that. And now that we have multiple, smaller players as well, it gets more challenging for us to nail market shares. But yes, we believe we probably improved our competitive position in the quarter as well.
Operator: Our next question is coming from the line of Michael Weinstein with JPMorgan.
Michael N. Weinstein - JP Morgan Chase & Co, Research Division: I'll add to all the different words you've used to describe the quarter, but obviously very, very strong. Let me just clarify 2 items. Mike, the TFTA split that you gave earlier, was that the market in your view, or is that Edwards ?
Michael A. Mussallem: No, that was us, Mike. Thanks for the comment by the way.
Michael A. Mussallem: The 75-25 split was Edwards. I would guess that our competitor would be even higher transfemoral, but I don't -- I can't speak to that with certainty.
Michael N. Weinstein - JP Morgan Chase & Co, Research Division: Right. And then, I just wanted to pursue the money shift within -- where you're moving money out of the glucose monitoring to ESR, and you're increasing the investment in advance structural heart opportunities, and I was hoping you could help describe for us what are advanced structural heart opportunities outside of the mitral replacement device.
Michael A. Mussallem: Yes. Well, actually, the transcatheter mitral opportunity is one of those places where we'll be increasing investment. In addition to that, we just think broadly in the area of structural heart, that technology is available to be able to treat structural heart disease with interventional or minimally invasive technologies. And this could impact any of the valve positions, and it could even move into patients that suffer from heart failure. And we're not going to be specific on what we're working on, but we have multiple programs that are in our advanced technology area, where we're pursuing opportunities, and we're hopeful that some of those come to fruition. There is some promise there, but still early.
Michael N. Weinstein - JP Morgan Chase & Co, Research Division: And just last question on that. So are those all internal programs, and are any of them in-humans that you could talk about?
Michael A. Mussallem: They're -- most of them are internal, but we also have some external programs. And in general, we'll keep you updated. When they tend to move into humans, you'll hear about them reported at medical meetings.
Operator: Ladies and gentlemen, due to time constraints, our final question will be coming from the line of Glenn Novarro with RBC Capital Markets.
Glenn J. Novarro - RBC Capital Markets, LLC, Research Division: Two questions, one for Mike and one for Scott. Mike, just to follow up on mitral, it seems like there's some smaller competitors that seem to be starting some more formalized trials, and you're moving to a little bit of a formalized trial with your Europe and Canadian first-in-man experience. So I'm just wondering, as you look at the landscape, where do you feel you are, competitive-wise? Do you feel like you're in line with some of the smaller players that are starting more formal trials? Or do you feel like you're a little bit behind? And then, Scott, you mentioned your free cash flow for the year's going to be at the high end of the range. You are buying back stock, but you're not buying back stock aggressively. So how should we think about use of cash going forward, as your cash pile continues to build?
Michael A. Mussallem: All right, thanks, Glen, I'll answer your first question. Yes, it's a tough one to call about who's ahead at this very, very early stage. I mean, most of us all just have a small number of patients. And as you correctly noted, some of us are into some more formal studies. But those are still small studies. And so, and I think, it's -- it remains to be seen, sort of who's in front on that sort of dimension. I can tell you that Edwards Lifesciences has an intention to be the leader in transcatheter mitral technologies, but that's for us to work on and deliver.
Scott B. Ullem: And regarding the share purchase, I'll just start with cash usage in general. Our first call on cash is investing in high-returning, internal organic growth opportunities. We are -- we look at outside investments as well. External acquisition opportunities are generally small. And minority investments, joint ventures, buying intellectual property, but that's an important direction for our cash usage as well. And then share repurchase is going to be the biggest use of cash. And we're going to, over time, be an aggressive repurchaser of shares, as we have been historically. But we also want to make sure that we dollar cost average, and that we make sure we're tracking over the -- overall macroeconomic and big picture stock market moves, so that we have a chance to spread out our repurchases, and that's what we're going to plan to do.
Michael A. Mussallem: Thanks, Glenn. And thanks, all, for your continued interest in Edwards. Scott and David and I will welcome any additional questions by telephone. And with that, back you, David.
David Erickson: Thank you for joining us on today's call. Reconciliations between GAAP and non-GAAP numbers mentioned during this call, which include underlying growth rates, sales results, excluding currency impacts and amounts adjusted for special items, are included in today's press release and can also be found in the Investor Relations section of our website at edwards.com. If you missed any portion of today's call, a telephonic replay will be available for 72 hours. To access this, please dial (877) 660-6853 or (201) 612-7415, and use the conference number 13592286. Additionally, an audio replay will be archived on the Investor Relations section of our website. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you very much for your participation.